Operator: Good morning, ladies and gentlemen, and welcome to the Third Quarter Earnings Call for Light. Today's event will be in Portuguese and will be translated into English. If you would like to listen to the English language audio, you can click on the Interpretation button at the bottom of your screen. We'd like to inform you that this event is being recorded and it will be available at the company's Investor Relations website along with the materials used in this presentation, which can be downloaded there. [Operator Instructions] Before we continue, I would like to state that any remarks during this presentation about the company's business perspectives, projections, operational and financial goals are simply based on the directors' beliefs and assumptions. They are based on information that is currently available for the company. Remarks about the future are not a guarantee of performance as they involve risks and assumptions and refer to future events that, therefore, depend on circumstances that may or may not occur. Investors should understand that the general economic conditions, industry conditions and other operating factors may affect the company's future results and lead to results that differ materially from those expressed in these forward-looking statements. After that disclaimer, we will begin the company's presentation with Mr. Alexandre Nogueira, CEO, who will make his opening remarks; and then we will hear from Rodrigo Tostes, CFO and Investor Relations Officer, who will talk about the company's results. Mr. Alexandre will begin. Go ahead, sir.
Alexandre Ferreira: Good morning, everyone, and welcome to Light's third quarter results call. Before commenting on the company's performance, I would like to highlight that we were very pleased to receive a favorable recommendation for the renewal of our distributors' concession at the ANEEL Board meeting on November 4. This recommendation is not only a crucial step in the process, but also an unequivocal validation that Light has met all of ANEEL's rigorous technical, economic, financial and operational management criteria. It demonstrates our commitment to responsible management and long-term operational and financial sustainability. Following the procedural rules, the matter was forwarded to the Ministry of Mines and Energy, which is responsible for signing the addendum to the concession contract. This important milestone consolidates our transformation plan, which is based on 3 fundamental and complementary pillars: economic, financial and operational. The economic pillar also considers these new terms for the concession contract, which will be valid for the next 30 years. This is a balanced contract that addresses the structural challenges in our concession area, such as a differentiated treatment for risk areas. This rebalancing process will guarantee long-term sustainability and security for us to expand our investments. So we will be able to accelerate the modernization of the network and improve services, honoring our legacy in Rio de Janeiro. This has been the case for the last 120 years and will continue to be so for decades to come. In the financial pillar, the company is up to date with all stages of its judicial reorganization plan. The debt has already been reprofiled, resulting in lighter capital structure with reduced rates and extended terms. On the operational side, we continue to reap good results in our indicators. The DEC index, which measures the duration of interruptions reached a historical low of 6.08 hours in the 12-month period, 10.6% below ANEEL's regulatory limit. The FEC index, which tracks frequency, stood at 3x, 33% below the regulatory limit. Light has also reduced by 40% the average emergency response time and power outages lasting more than 24 hours by 64%. These results reflect the disciplined execution of our transformation project. On the investment side, this quarter alone, our distribution company invested BRL 457 million, an increase of more than 70% over the same period last year. Year-to-date, the Light Group's investment already totaled BRL 1.2 billion with approximately BRL 1 billion of this amount allocated exclusively to electrical assets. These resources are being directed to several fronts with an emphasis on optimizing processes and systems, expanding our field teams and continuously modernizing our network. Our vision for the future also extends to our generation business. We are working to ensure the renewal of generators concessions and our participation in future capacity reserve auctions to be announced by the government, which we have already formalized with the competent authorities. The renewal of the concession, financial discipline and strengthening our operational indicators marked the beginning of a new cycle for Light. Our entire team is committed to transforming these results into sustainable values and consolidating Light as a leader in the evolution of the Brazilian electricity sector. To detail this quarter's figures and the next steps in our court mandated reorganization plan, I will now give the floor to our CFO, Rodrigo Tostes. He will comment on the advances that include a capital increase of up to BRL 1.5 billion, supported by our reference shareholders and the conversion of debt into company shares. Thank you, everyone. After Tostes' presentation, I will be available for a Q&A.
Rodrigo Tostes Solon Pontes: Thank you, Alexandre. Good morning, everyone. As said by Alexandre, this is indeed a very special moment for the company. ANEEL's favorable recommendation for the renewal of our concession is the result of a great effort. The deliveries that we've made so far will sustain the company's future for the next years in a structural and definitive way. So let's start the presentation with the highlights. First, cash continues to be the company's focus. Life continues to have a solid cash position, a total of BRL 2.64 billion at the end of the third quarter of 2025. In this context, it's worth noting that we've reached this position by making investments to the order of BRL 470 million in the quarter, a 60% increase compared to 2024. This was done 100% on capital. Everything that's been done is a part of a plan that keeps the company healthy from a financial perspective. At the end of September, our net debt-to-EBITDA ratio was 2.89x with a downward trend in the short term which will take place after the debt is converted and the planned capital increase takes place after signing the contract. On the operational side, we continue to work hard. The distributors' nontechnical loss indicator on wire load fell to 22.8%. Quality indicators, DEC and FEC remain well below target and are improving consistently. Continuing with Slide 5, we have the evolution and more details on the company's consolidated cash position. As already mentioned, the group ended the quarter with cash and equivalents of BRL 2.6 billion. The 14% reduction compared to last December's position mainly reflects a lower energy consumption at the distribution and the negative effect of the CVA composition in the period, also in the range of BRL 500 million. A key point I would like to elaborate on is the application of our cash. First, I would like to clarify that we strictly follow the investment policy approved by our Board of Directors and that this policy has objective allocation criteria that consider: one, the rating and book value of financial institutions; two, the maximum percentage exposure per institution; and three, the maximum proportionality of exposure in institutions by book value to ensure security and conservatism in the application of our resources. It's important to note that at the end of the quarter, around 85% of our cash and cash equivalents were allocated to government securities or assets of institutions with the highest investment grade. The remaining portion, around 15% was allocated to institutions with an A rating or higher. Moving on to Slide 6 and now turning to the distributors' operational highlights. We can see consistent progress in the main quality indicators monitored by ANEEL. The DEC, which measures the duration of interruptions over the last 12 months stood at 6 hours at the end of the quarter and is at historic lows, while FEC, which measures the frequency of these interruptions, stood at 3x in the same period, both comfortably within ANEEL's regulatory limits. In addition, another clear sign that we're on the right track is the transformation that we've achieved in other operational indicators. For example, the average emergency response time and the volume of incidents lasting more than 24 hours have been drastically reduced as a result of the investments made in the operation and network infrastructure and field teams. I'd like to take this opportunity to congratulate the entire operations team and other support areas of the distribution company, which spared no efforts to reached this extremely significant milestone, which is already being felt by the entire population of our concession area. Moving on to Slide 7. We can see the impact of the harshest winter in the last 19 years on our city, which has impacted electricity demand in our concession area. In the quarter, the energy market declined 5.3% year-on-year with a sharp decline, not only in the residential and commercial classes influenced by the temperature effect, but also in energy demand in the industrial class. Moving on to Slide 8, we will talk a little about losses in our concession area. For a better understanding of our business and to avoid misinterpretations, we will now monitor the loss indicator considering nontechnical losses on the wire load. That is nontechnical losses in relation to all the energy that's circulated in Light's grid during a given period. In this sense, in the last 12 months ending in September, this indicator was 22.8% for the distributor as a whole, an improvement of 0.3 percentage points over the same period last year. It's important to note that our strategy to combat losses so far, we have combined the implementation of new technologies with data intelligence to translate into more assertive field actions. This strategy is based on investments in infrastructure modernization such as intensification of cut and reconnect actions, reregistration of the customer base, implementation of boundary measurements and resolution of an old but relevant challenge in our concession area, which is the outsourcing of meters. Moving on to Slide 9, we present the progress in the distribution -- excuse me, the distributors' investments. This quarter, we invested BRL 457 million in the distribution business, increasing the amount invested by 73% year-on-year, mainly due to the growth in investments in maintenance and quality actions in low voltage and underground networks. As a result, the distributor accumulated investments of around BRL 1.2 billion in the first 9 months of 2025, surpassing the amount invested throughout the entire year of 2024, which was BRL 967 million. Moving on to Slide 10. I will briefly comment on the distributors' adjusted EBITDA performance, which totaled BRL 402 million in the quarter. As already mentioned, the result was impacted by low temperatures and PMSO expenses as observed in recent quarters, which have been higher due to the increase in in-house and third-party teams focused on supply quality and customer service. It's also important to mention that we expect an increase in productivity and a significant reduction in PMSO expenses in the coming years due to structural projects, modernization and improvement in management. Contingency expenses have already shown us significant results. We saw a 21% drop in the volume of new claims in special courts, 40% in new claims in civil courts and 8% reduction in the backlog of cases in both courts. Moving on to Slide 11, we will briefly comment on the Generation and Commercialization segments, which together reported an adjusted EBITDA of BRL 103 million in the third quarter. Despite the growth in the volume of energy sold with a 42% year-on-year increase, adjusted EBITDA performance was negatively impacted by the unfavorable GSF in the period. Despite this, the combined businesses delivered a net income of BRL 21 million in the quarter. Additionally, I'd like to mention that in July, we contracted a hedge operation for the remaining balance of the company's foreign currency debt, which will mature in June 2026 to the amount of USD 159 million, thereby eliminating the bond's exposure to exchange rate fluctuations to the dollar. Before we move on to the Q&A, I'd like to quickly go over Slide 12 with the next steps outlined by the company's court order reorganization plan, which are the private capital increase and the conversion of convertible debt as described in clauses 4 and 5 of our plan. The starting point is signing the new Light SESA Concession Agreement, which has not yet taken place. After that date, we will have a 90-day window to execute both the capital increase and the debt conversion. All relevant information about these events, including amounts, deadlines and operational details will be disclosed in a timely manner when duly approved by our Board of Directors, obviously, respecting the terms and conditions imposed by the judicial reorganization plan. Finally, getting to this point was no accident. Everything we've achieved is a result of plans that were made and carried out by all of our company's teams led by Alexandre. Our 120-year history starts with a new contract, a new business model in which Light will be a balanced company with all the conditions to provide quality services that our customers deserve while remunerating the capital employed by our shareholders. With that, I conclude my remarks and give the floor to the moderator, who will begin the questions-and-answer session. Thank you. Moderator, please proceed.
Operator: [Operator Instructions] The first question was asked by Mr. [ Francisco Barbe ] from [ Moneda ]. He asks about the company's investment expectation for the distribution company.
Rodrigo Tostes Solon Pontes: Francisco, thank you for that question. As Alexandre said, and as I've stated a few times, our expectation after renewing the concession is for Light to have a broad investment plan, especially to modernize its assets. This investment plan is still being perfected, but it will definitely be a plan that will give more reliability to the asset on the short term and a renewal and modernization of these assets in the short and medium term. Thank you.
Operator: [Operator Instructions] This concludes the question-and-answer session and the company's conference call. On behalf of Light, we would like to thank you for being here and inform you that the Investor Relations team is always available. Thank you, and have a good day.